Operator: Good morning and thank you for holding. Welcome to Aon Corporations Second Quarter 2010 Earnings Conference. (Operator Instructions). It is important to note that some of the comments in today's call may constitute certain statements that are forward-looking in nature as defined by the Private Securities Reform Act of 1995. Such statements are subject to certain risks and uncertainties that could cause actual results to differ materially from historical results or those anticipated. Information concerning risk factors that could cause such differences are described in the press release covering our second quarter results, as well as having been posted on our website. In connection with the proposed transaction with Aon and Hewitt and as filed a registration statement on Form S-4 on July 26, 2010 which also constitutes a preliminary joint proxy statement for Aon and Hewitt and contains the preliminary prospects for Aon. Before making any boding or investment decision, investors and stockholders are argue to read carefully in its entirety, the definitive joint proxy statement, prospects regarding the proposed transaction and any other relevant documents filed by either Aon or Hewitt with the SEC when they became available. They will contain important information about this proposed transaction. Now, it is my pleasure to turn the call over to Greg Case, President, and CEO of Aon Corporation. Sir, you may begin.
Greg Case: Thanks a very much and good morning everyone and welcome to our second quarter 2010 conference call. Joining me here today is our CFO, Christa Davies. To begin, this was an incredibly exciting quarter. Highlighted by the recent announcement of our pending merger with Hewitt creating Aon Hewitt a global leader in human capital solutions and in addition to that the beginning of our four year partnership Manchester United which will substantially strengthen Aon brand recognition around the globe. Against this backdrop these great highlights our team is proud to deliver results, that represent a strong quarter a continued progress and momentum. As we have said before, irrespective of economic conditions, the soft market or other challenges outside our control we continue to execute our plans to substantially strength our firm, positioning Aon as the preeminent global professional services firm in the world focused on risk and human capital solutions. Consistent with our previous quarterly updates I would like cover three areas before turning the call over to Christa for further financial review. First is our performance against key commitments to shareholders, second is continued areas of investment across Aon including the brief update on the progress of Aon Hewitt and third is overall organic growth performance. On the first topic our performance versus commitments, each quarter we measure our performance against the three metrics we committed to shareholders to achieving over the course of the year. To grow organically expand margins and increase earnings per share. In the second quarter, organic revenue declined 1% and improvement from a negative 3% in the prior quarter as consulting delivered positive organic revenue for the first time since Q1 of 2009 and brokerage delivered significant improvement with organic growth coming from key areas such as Latin America, Asia Pacific and benefits from our GRIP platform. Adjusted operating margin increased a110 basis points, highlighted by a 200 basis point improvement in brokerage as strong operational performance offset a modest decline in organic revenue and fiduciary investment income. EPS on an adjusted basis increased 7% to $0.81 representative of strong operational performance and effective capital management in a challenging environment. Overall, a solid quarter of operational performance as we continue to build and strengthen our client serving capabilities focused on what we believe are two of the most important topics in the global economy today. Risk and people what we believe, we are exceptionally well positioned to capture this opportunity. On the second topic further areas of investment, we believe we are in a unique position. Solid operating performance combined with expense discipline and a strong balance sheet continues to enable substantial investment in colleagues and capabilities. While we have got significant opportunity remain to deliver cost savings under our restructuring programs, we continue to build on our leadership position and industry leading capabilities. Just a few examples, in brokerage, we're investing in innovative technology such as our global risk insight platform and Fact Connect to ensure the clients have seamless access of best of global Aon in every local region around the globe. In fact, GRIP recently completed its 500,000 trades highlighting a unique value of this platform. We are also investing in additional capability as risk continues to increase in size and complexity around the globe. With acquisitions such as Allied North America, and FCC Global strengthening our industry leading construction capabilities as well as the acquisition of Carpenter Moore strengthening our capabilities and professional liability. We are also investing client leadership to drive greater productivity and efficiency with the roll out of the revenue engine in EMEA and Asia Pacific, already on Broking platform to better match client needs to ensure appetite or risks and client promise which is driving greater retention rates and ensuring clients fully understand our value proposition in a completely transparent way. And we are just beginning to realize the positive impacts of these investments; we believe we will begin to see increasingly greater benefits as a we move into 2011 and 2012. In consulting we recently completed the acquisition of JPMorgan's compensation and benefits business strengthening our intellectual capital in key areas including pension actuarial and advisory services with over 150 colleagues in key markets across the U.S. In addition, we continue to invest in key leadership globally with senior leaders hired across practice areas including health and benefits, retirement and management consulting both in the U.S. and Asia Pacific. And of course, subsequent to the volumes of the second quarter, we announced that Aon and Hewitt signed a definitive agreement under which Hewitt will merge with a subsidiary of Aon, Aon Consulting and upon close of the transaction the segment will operate globally under newly created Aon Hewitt brand. Together we will combine a portfolio of innovate products and services focused on what we believe again are two the most important topics in the global economy today, risk and people. The Hewitt which is where the strength in consulting benefits administration and HR business process outsourcing and Aon Consulting will strengthen employee benefits, retirement and global compensation, just to name a few areas will truly create a global leader in human capital solutions. Since the announcement we've had the opportunity to meet with a significant number of shareholders and we're pleased with the positive reception and support we received. Equally important is the report we received from a number of our middle market and large corporate clients, including Fortune 100 clients who have already reached out to Aon as they recognize the breadth and depth of the Aon Hewitt product and services capabilities both close. I'd also like to update you on the progress we're making with our integration planning which is already well underway. As previously announced, Aon Hewitt will be led by Rust Fradin, Hewitt's Chairman and CEO. Our team is truly exited to work with Rust and the entire team from Hewitt. An integration team comprised of leaders from both companies has been formed and has been led by Greg Besio, Aon's head of global strategy and our CAO. We've got a team in place and we're approaching integration in a way that will ensure that we begin operating on day one, post close in the strongest position possible. Lastly, regarding key steps necessary to close the transaction, we filed for regulatory approval with HSR on July 23rd, filed our join proxy and prospectus on July 26 and are currently in progress with filing our EU regulatory approval. In short we are progressing as quickly as possible and are fully on track to close the transaction by mid-November following shareholder approval by both companies. And while we're here today to take questions regarding our quarterly results, we thought it was important to briefly update you on the progress we're making on the proposed merger. We fully expect to update you going forward on a regular basis as appropriate regarding any significant developments related to the merger. In summary, on the topic of investments across both brokerage and consulting, our fundamental client serving capability continues to strengthen around the world. These investments fully funded in the context of continued margin improvement position Aon very well to take advantage of a changing global economy. And finally on the third topic o growth, I want to spend a few minutes discussing the quarter for both our brokerage and consulting segments. In brokerage overall organic revenue for the segment declined 1% with improvement from previous quarters in both retail and reinsurance. In retail we had strong growth geographically in Latin America and Asia Pacific and in benefits related to our GRIP platforms. This offset continued pressure from lower exposures, reduced discretionary spend and the impact of pricing which was down mid single digits on average globally. In reinsurance, excess capital and generally positive loss experience continue to drive higher seeing retentions and soft pricing globally. And against these challenging head wins which are primarily market related we're driving a set of initiatives that continue to strengthen our underlying performance and give us confidence that our brokerage business is well positioned for long term growth. With retention rates 90% or better on average including U.S. retail which posted its highest quarter ever at 93% highlighting strong client satisfaction. New business generation of approximately 200 million in our retail brokerage business are up mid-single digits, really from the diversified markets around the globe including Latin America, Central and Eastern Europe, Africa, Italy and China, highlighting just some of the strengths of our global client serving capability. And investments in capability are the roll out of GRIP, Fact Connect and impact on demand across our brokerage platform. Turning to the individual areas across our brokerage business, in the Americas organic revenue increased 2% versus the prior year quarter. Results reflected significant improvement from a negative 5% decline in Q1. We saw strong growth in both Latin America and in benefits related to out GRIP platform. We also saw improvement in our key construction services portfolio with a pipeline of infrastructure projects is very encouraging. And while we still expect pressure for both the economy and soft pricing on our renewal book, we anticipate continued modest growth underlying trends highlight the work put in place over the last year to drive improved performance from pipeline management, productivity improvements client service enhancements and increased commissions. Turning now up to Europe, Middle East, and Africa, EMEA, organic revenue decreased 3% we saw strong growth in new business across the region in areas such as Italy, Spain, Portugal and Africa more than off set by continued economic weakness and pressure on the renewal book in Continental Europe and Ireland. Pricing was down low single digits on average and heavy export countries. Continue to be impacted by lower exposure units. Again we've got 90% plus retention rates and leadership positions across those markets in Europe with stability in key countries such as Spain, Portugal and Italy, as we've noticed the last few quarters, fragile economic conditions will continue to make results across the entire region lumpy on a quarterly basis, but we would expect modest improvement in the second half of the year. Turing to U.K. organic revenue declined 6%, we're able to generate new business growth in a number of areas such as crisis management, space and power and other areas, however lower exposures compounded by soft pricing continue to have an unfavorable impact on the renewal deck of the region in a number of areas such as financial institution and marines among other. Fragile economic conditions will continue to make results across the region lumpy, on a quarterly basis as we said before. Turning to Asia Pacific organic revenue was plus 3%, results reflect continued improvement compared to the prior quarter and the highest rate of organic growth since Q4, 2008. We saw growth in a number of key markets including Australia and New Zealand as well as strong growth in a number of markets including Taiwan and Singapore. These results were partially offset by continued economic weakness in Japan and political instability in Thailand. Turning to reinsurance, organic revenue was negative 3% and the results reflect a modest improvement from the prior quarter. Higher cedent in retentions and soft pricing globally were partially offset by growth in capital markets transactions. If you break down organic performance for the quarter, impact of the market drove a negative 5% organic decline and these were driven by higher seed in retentions and soft pricing globally as the as the industry continues to be over capitalized. Partially offset by capital market transactions which drove the positive 2% organic revenue. We'd expect to see continued pressure at a similar rate on the reinsurance book for the forcible future driven by week market conditions, partially offset by growth in faculty and even capital markets transactions, which again tend to be lumpy quarter-to-quarter. Finally turning to our consulting segment, organic revenue increased 2%, a solid improvement from the prior quarter and the first quarter of positive organic growth since Q1 2009, we saw strong participation for a selected global compensation surveys and our compensation consulting business and growth in our international health and benefits business also drove improved results. As economic conditions stabilize around the globe on average, we'd expect to see continued modest growth driven by an encouraging pipeline in compensation that's helping and an increase in discretionary related work and new services such as the Dependent Eligibility Audits. And additionally we have fully integrated our JPMorgan compensation and benefits acquisition that was completed in the first quarter and this again strengthens our benefits consulting intellectual capital in key areas including pension actuarial and advisory services. Taking a step back and thinking about our second quarter overall, we believe we delivered solid progress against our core commitment to shareholders and while we continue to face head wins in the broader economy we are driving a set of initiatives that are delivering core operational improvement positioning Aon for a long-term growth with greater client serving capability and effectively allocating capital to maximize shareholder value creation. Now I am pleased to turn the call over to Christa Davies for the financial review. Christa?
Christa Davies: Thanks so much Greg and good morning everyone. As Greg noted our second quarter results reflect continued to progress to strengthen our industry leading positions and client serving capabilities across risk and human capital. With simultaneous improvement in each of our three key financial metric. The rate of organic revenue improved in both segments from the prior quarter. Strong expense discipline drove significant operating margin expansion and EPS from continuing operations showed solid growth. Now let me turn to the results from second quarter, GAAP EPS of continuing operations was $0.63 per share for the second quarter. Our core EPS performance reflected in an adjusted EPS of $0.81 per share for the second quarter up 7% compared to $0.76 in the prior year quarter. The difference between GAAP and our adjusted EPS is $31 million or $0.08 per share of restructuring charges and a non-cash charge to pension expense of 49 million or $0.10 per share which resulted from an adjustment for the market related value of planned asset to properly reflect the merger of two U.S. pension plan in 1999. This adjustment has no material impact on funded status of plans, pension expense or expected contribution for the year. Also included in the results foreign currency translation had a favorable impact of approximately $0.02 per share on adjusted EPS results. As we look at translation impact for the second half of 2010 we would anticipate a very modest unfavorable impact on EPS subject to movements in foreign currency. Now let me talk about each of the segments. In our brokerage segment against an organic revenue decline of 1% we delivered an adjusted operating margin of 21% up 200 basis points from the prior year quarter. Our performance for the quarter continues to demonstrate strong operation discipline and structural margin improvement positioning the segment to greater operating leverage as economic conditions begin to improve around the globe. Adjusted brokerage operating income increased 11% or $34 million to 334 million. The year-over-year margin benefited by significant savings related to our restructuring programs and operational improvements. Partially offset by a 100 basis point decline related to the decline in organic revenue and a 30 basis point decline related to lower producer investment income. Let me spend a moment on each of the restructuring program. Key initiatives that are enabling entire funding investments and delivering further long-term margin expansion. With respect to the 2007 restructuring program we achieved approximately a 113 million in savings in the second quarter primarily in the brokerage segment through workforce reduction. This compares to a 110 million in the first quarter and 51 million in the prior year quarter. We incurred $25 million of charges in the quarter and have approximately $4 million of total charges remaining under the program which we expect complete in the third quarter. With respect to the Aon Benfield restructuring program we achieved approximately $24 million of savings in the second quarter primarily through workforce reduction. This compared to $22 million in the first quarter and $10 million in the prior year quarter. We incurred $6 million of charges in the quarter and have approximately $30 million of total charges remaining under the program of which we currently expect a majority to be completed in the second half of the year. Overall we continue to ahead of original schedule on our restructuring programs. We have completed 96% of the charges as at the end of the second quarter yet we still have approximately 168 million of incremental brokerage savings or 29% still to achieve under these two programs between now and the end of 2011. There are five key initiatives that will drive growth in brokerage margins 25%. The first are the restructuring savings and other operational improvement initiatives. The second is the continued roll out of the revenue engine. The third is Aon Broking. All three of these are within our control. In addition there are two initiatives that will improve margins based on the external market improving. These are the improvements in the economy, specifically short term interest rates and GDP growth and the last one is improvements in insurance pricing. I would note in the first half of 2010 against the decline in organic revenue of 2% in brokerage, operating margins have expanded 90 basis points to 20.8%. Turning to the consulting segments, organic revenue decreased 2% and we delivered an adjusted operating margin of 14.8%, a 20 basis point decrease from the prior year quarter. Adjusted consulting operating income increased 4% or $2 million to $47 million. Margins were relatively similar to the prior year quarter when excluding the impact of foreign currency as organic revenue growth and benefits related to the restructuring program were offset by investments in key talent to drive long term growth opportunities. I would note in the first half of 2010 with flat organic revenue, our industry leading operating margins have expanded 20 basis points to 16.1%. Now let me discuss the unallocated income and expenses. Unallocated results including other income were a pretax loss of 57 million compared to a pretax loss of 32 million in the prior year quarter. Interest expense increased $7 million due to a higher average interest rate on our unsecured noted placed in July 2009. The prior year quarter benefitted from $9 million of income related to the company's ownership and certain insurance investment bonds and the extinguishment of certain trust preferred securities. We will continue to expect approximately $5 million per quarter of interest income and $65 million of total unallocated interest expense. Turning to taxes, the effective tax rate on continuing operations was 27.5% when excluding the non cash charge to pension expense similar to the prior year quarter. We will continue to anticipate an underlying tax rate on continuing operations of 28% going forward. Turning to shares, average diluted shares outstanding decreased 10.1 million to 282.6 million in the second quarter due to the company's share repurchase program. Actual shares outstanding on June 30 were 269.7 million, compared to 269.4 million at March 31. During the quarter the company repurchased $50 million or 1.2 million shares at average purchase price of $41.03 per share and issued approximately 1.5 million, primarily performance based incentive plans. The company has approximately 165 million of remaining authorization under the 2005 share repurchase program and $2 billion under the share repurchase program. We would not expect to repurchase any shares until a proposed merger with Hewitt is completed. Upon close of the transaction we will be free to continue a share repurchase. Now let me turn to the balance sheet and cash flow segments to discus our financial flexibility. Cash and short term investments were approximately 734 million, unchanged from the prior quarter as cash flow from operations was primarily offset by restructuring payments, share repurchase and contributions related to our pension plans. Based on recent negotiations with trusties with certain new U.K plans and the impact of foreign currency we now expect to contribute 278 million through our pension plans in 2010, of which we have contributed approximately a $114 million year-to-date. Total debt outstanding at June 30 was $2 billion and debt- to-capital was 26.6%, down modestly from 28% in the prior quarter. Turning to cash flow from operations, we excluded the impact of the change in funds sold on behalf of clients because it has no impact on cash. Cash flow from operations for the first half of 2010 was $239 million, a significant increase compared to cash usage of 16 million in the prior year's first half. In summery, Q2 showed organic revenue improvement in both brokerage and consulting despite economic weakness and continued soft market conditions. However against these head wins we are continuing to focus on cost management, executing our restructuring program that have substantial savings yet to deliver and strategically investing in long term growth opportunities. Our balance sheet is strong and strong cash flow provides excellent liquidity and significant financial flexibility as we dive value creations to improve business results and effective capital management. With that I'll turn the call back over to the operator and we'll be delighted to take your questions.
Operator: Thank you. (Operator Instructions). Our first question comes from Keith Walsh. Please state your company name.
Keith Walsh - Citi: Hi good morning everybody. It's Keith Walsh from Citi. First question I guess for Christa and/or Greg, around the expenses, listening to some of the other conference calls this quarter, it seems that the natural inflationary lifting comp is coming back again and maybe if you could talk to this issue a little and then thinking about it specially excluding your large cost saving program, what is the natural rate of organic growth really needed going forward to be margin neutral versus say the last two years?
Christa Davies: Yeah, so if you think about out expense cycle, you will see a very large portion of our expenses Keith our people and if you think about the fundamental sort of inflationary pressure on that, it's probably around 2%. So if you think about sort of the neutralizing, which I think is the old sort of question, it would be 2% and obviously we've said that we think have sort of growth rate longer term is a couple of hundred basis points above GDP. So that gives us substantial operating leverage over that base.
Keith Walsh - Citi: Okay and the second question for Greg. You guys are the best our there given the professional liability advice to your clients. But with all due respect, you don't seem to be taking that advice for your own business and I guess the question would be, where do you stand on this issue of liability caps and why haven't we seen a much more aggressive policy towards implementing them like your rival Marsh has done? Thanks.
Greg Case: Keith thanks for the questions. We have obviously though a lot about the limitation liability point that you're raising and from our standpoint as we always knew we said it a lot of time with our clients talking about it during their views, reflections of perspectives on it and as we continue to evaluate it we want to make sure we are always giving the best solution for them possible but in the context of that obviously we have got in the folds of time make sure we are mindful of the risk that Aon takes from a balance sheet standpoint and we are not in a position as you are highlighting to take balance sheet risk, that's just not the business we are in. We are in a wide space business and so you can look for us in the second half of the year. They will be taking a more proactive stance on this as we think about serving our clients as effectively we can but also protecting the Aon balance sheet in the context of what we do. Those were great question.
Keith Walsh - Citi: So, I would assume just from your answer that you have been in discussions on this and you do have potentially some things to talk about with respect to this going forward.
Greg Case: That's absolutely correct and you can look for us in the second half of the year. We will be taking a much stronger stance on this and doing so in a way that we want to try to be as client adapted and client friendly as possible but also at the same time again making sure we are mindful of our balance sheet and what we do and again as you are really highlighting we are in advice business not balance sheet business and we are going to make sure we are going to make sure we protect against the liabilities that come with that.
Keith Walsh - Citi: Great thanks a lot.
Operator: Thank you. Our next question comes from Jay Cohen. Your line is open and please state your company name.
Jay Cohen - Bank of America/Merrill Lynch: Bank of America/Merrill Lynch, Greg I was wondering in your consulting business are you seeing any increased demand yet due to the healthcare reform that has been put in place.
Greg Case: Jay we are really just starting to see the grasp on that. From our standpoint if you step back and think about sort of what the implications of this could be overtime we do believe there is going to be, there is real opportunity here. As we said before you take a step back and say is there going to be healthcare, yes. Is there going to be some version of employer coverage of that, some way, shape or form, we believe that's going to be yes certainly for the foreseeable future and the context of that is that healthcare bill get some clarity and still there is some lack in clarity and exactly if you look like our clients are very, very interested in understanding how they can actually get themselves prepared for that. As an example we have been holding webcast over the course of last six, seven months. We have held six webcast, over 6000 folks join that, employees that and it's actually very, very positive. Ten seminars, 115 participants come to that specific client is very, very positive. In the context of what we have done we think there is a lot of opportunity, we are just beginning to see the tip of that and obviously we feel strongly about this opportunity given some of the other announcements we made recently in the context of what we are trying to do.
Jay Cohen - Bank of America/Merrill Lynch: Got it.
Greg Case: It's not showing up in the quarter right now. We are just starting to see this break a bit.
Jay Cohen - Bank of America/Merrill Lynch: Got it and then second question, Greg, I am wondering if you can talk about the reaction you have gotten from your clients in regard to the announcement you made on contingent compensation. 
Greg Case: Well Jay as we have done very, very carefully much of the same conversation we had on the whole conversation of limited liability. I have really spent time to talking to clients quite extensively. Steve McGill and our entire team on the retail side I think they have done an exceptional job and they have spent really many months spending time with clients on how they think about this, how they go through it, prospectus it and et cetera, and we have actually had a very muted reaction at this point in terms of sort of what we were going to announce. Remember it's not that surprising, if you think about how we think about compensation and for us this is not about contingent it is very much around value to price. We have essentially said to clients we will be the highest value in the industry. We will absolutely pursue a set of capabilities that will deliver value. We may cost a dollar but we'll deliver $2. The client, somebody else, another competitor might be much cheaper, say $0.50 but they're going to deliver $0.52 as an example and our clients really understand that and really appreciate sort of the value approach we take. In terms of the forms of remuneration, as we've said before, the key part of this is really transparency, making sure they understand the value they receive and the price they pay for it and we led the industry around transparency. And back in July 2008 Steve McGill testified on the context of continued commissions and we said at the time, look there is not -- this is not an irreconcilable conflict. Transparency is the absolute key to this. And as we've talked to clients about it they fully understand it. I'd also just remind you again, if you think about sort of the history of continued commissions, they've never been a huge thing for Aon. If you go back to the last time they were really reported in business insurance and look at the top 20 takes of contingent commissions, on the top 20 we were very much at the tail, 19 or 20 on the ranking list. Some other prominent folks out there were much, much higher on the list at time like number one, number two, number three and they just have never been a huge part of what we've done. What we essentially said is look, they are out there, they are available and as we talk to clients and markets, if it makes sense we'll take them, if it doesn't we wont. But again it's not an overwriting factor for us either way. It's very much around value of the price and how we deliver that for clients.
Jay Cohen - Bank of America/Merrill Lynch: Got it, thanks for the response.
Greg Case: Sure.
Operator: Thank you. Our next question comes from Meyer Shields. Your line is open and please state your company name.
Meyer Shields - Stifel Nicolaus: Thanks good morning, its Stifel Nicolaus.
Christa Davies: Hey Meyer.
Meyer Shields - Stifel Nicolaus: Good morning all. I'm sorry. In the press release Greg you made mention of the benefits coming from the GRIP platform. I feel some of that is commission leakage. I was hoping you could sort of expand on that a little bit.
Greg Case: Yeah, I think really, as we're really talking about here, if you take a step back and think about all the initiatives we've been driving around, that's really the category of Aon Broking. Efforts to really think about our broad based approach and as we think and talk to clients and we talk to markets, just making it absolutely clear that in the context as we deliver value to clients and place premiums that we get the delivery on the market front that markets have agreed to. So its essentially a way to think about reduction of leakage and leakage again for us is defined as, if a market has promised 10% and they pay us less than that its just really trying to reconcile the difference between the two and we've made a number of investments in the context of Aon Broking around that, both in sort of how we understand our system, which is really what the Global Risk Insight Platform is about. It really is just understanding every trade we make in the system globally everyday in a real time basis. This has been a multi year investment. It's given us tremendous capability that we didn't have before and lets us be able to evaluate leakage, it helps us really monitor and manage the Broking. It gives us market insights. It helps us understand the kind of penetration we're having with clients and how we think about that. So it's really a whole range of things we've done really across our overall system. For us the GRIP is really a, the Risk Insight Platform is really an engine. It gives us a very unique use of view on data and we don't think anybody else has. It provides an opportunity for us to both talk to clients around greater benchmarking than they've ever seen before. It also gives us the opportunity to talk to markets and create a fee based offering to the extent it can help markets understand situations and their strategy better. So it really gives us a full range of things we can do and we've now got it implemented in 20 countries around the world, roughly $33 billion of premium flow rented in the system. As I mentioned in my opening comments 500,000 trades have been placed or monitored and its really, for us its an overall sort of efforts that have begun, just beginning to kind of really pay dividends across the Aon Broking Platform.
Meyer Shields - Stifel Nicolaus: Okay, and second if you change direction a little bit, there have been some news reports about Aon trying to retain a business that has historically since third party wholesalers and I was hoping you could to that a little bit.
Greg Case: Yeah for us this is really a back kick. It really relates to the previous question you had and it was really around the concept of how we actually think about our overall business. From our stand point we have what we believe a really -- the most unique set of capabilities in the world in what we do and how we place products and how we approach that everyday and what we've essentially said is we want to absolutely make sure we protect our clients and give them the best insight and the best available placing capability around the world and we also in the context when we just described around Aon broking created a set of opportunities that really helps us measure, manage and monitor the over all process which the Risk Insight Platform does and all we really did was just highlight that we were going to do that more and more on behalf of our clients and as such kind of restrict to what we do outside of that over all network because we think it's in the best interest of our clients.
Meyer Shields - Stifel Nicolaus: Okay thanks so much.
Operator: Thank you, our next question comes from Jay Gelb; your line is open and please state your company name.
Jay Gelb - Barclays Capital: Jay Gelb from Barclays Capital thanks. Greg or Christa, two questions for you. First, can you talk about the timeframe of which to achieve the 25% margin in brokerage? That's the first one and then second is, I now Aon is starting off with a very low base or maybe nothing currently at contingent commissions, but I think investors are really interested in having a sense of how much you feel you can collect over what sort of time frame? Thanks.
Christa Davies: Good Jay, in terms of our 25% brokerage margin, obviously we are very committed to that margin and very much in the same way we were committed to the 20% margin and we put it out there as long term goal. We have not given a timeframe around that goal, what we have said is that there are five key drivers to get to that goal. The first three are within our control and they are, number one sort of operating improvements of which we still have substantial savings for our restructuring and program, yet to flow through, in fact a168 million of saving yet to flow through in brokerage. The second one is the continued roll out of the revenue engine, particularly in APAC and EMEA, which is driving substantial improvements in revenue both improve retention rates and expended new business. The third one is Aon broking which as Greg has described is sort of quiet holistic around the way we think about sort of market and developing capabilities to better match, ensure appetite for risk and client needs. We believe that we can make substantial progress on just those three initiatives within under our control and in addition there are two sort of initiatives that really are based on market improvements and sort of the head wins we are currently facing, the first and most significant one is GDP and improved short term interest rates as you know a hundred basis points improvement in interest rate it's 35 million dollars top line and bottom line and then the last one is insurance pricing and we have continued to say, we do not need insurance pricing to turn around to get to the 25% margin long term. We are incredibly committed to delivering that margin long term.
Greg Case: And so I think, Jay what you see in the contest is the three things under our control that Christa just described is really is our blueprint to kind of march towards 25% and we are going to do that. The other two, we don't think -- it can get much worst, we'll see, they could potentially could I guess. But we think potentially could be real tail wins to the extent they would be kick in either in the economy or insurance pricing either one, other wise the former, the economy is much more powerful than insurance pricing just for reference.
 :
Jay Gelb - Barclays Capital: Thanks and then on the margin, if at some point if you can even just give us a range whether it's three years or five years or longer in terms when to get there I think it will be helpful.
Greg Case: We understand.
Operator: Thank you. Our next question comes from Dan Johnson. Your line is open and please state your company name.
Dan Johnson - Citadel: Citadel, thanks for taking the questions. Good morning. Just a couple please, good morning. Can we talk a little bit about the North American brokerage performance maybe couple of things, can you touch on how things are going in the sort of new loss retention sort of pipeline front and anything specific you can add on maybe the U.S. side of the North American franchise and then I do have one follow up.
Greg Case: Yeah Dan thanks for the question. Obviously, we felt very good sort of continued progress there on the overall Americas front up 2% for the quarter, slightly improvement over the prior quarters and part of this by the way is really which to the development of the programs we put in place in North America and the Americas. We just feel better and better about this, whether it is a revenue engine, what's been put in place or all the stuff we're doing around in Broking put in place. We started with the U.S. and now we are rolling out for the rest of the world. We think this actually bodes very well for what's happening and happened across the world. But the overall story really for us is as you think about our ability to improve share, increased share and grow the business ultimately, hold exactly as we said over the last number of quarters. First from a new business standpoint we continue to do exceptionally well. We are winning in a two to one pace. We continue to win on a two to one pace in the first half of '10 and as we look at the larger situation 669 opportunities give or take. We on 456 or about 68 or 69, 70% of those, that's holding very, very well for us Dan, we are exceptionally feel very, very good about sort of the new business win opportunities. I described new business generation across the globe but I just described was really more U.S. based if you look at across the growth in the globe, new business generation was around 200 million in the retail brokerage business up mid-single digits. I am really -- markets around the world but really from a new business standpoint we feel very, very good about what we put in place and what we are doing. We are in fact doing exceptionally well on a new business front and then you could say well that's new business what's happening in the retain book and as we have said before retention rates are 90% or better in the U.S. in particular, the highest retention rates ever at 93% and the pressure we are feeling is really on insured value that's really, it's really taking it's toll on the economy even more than insurance pricing. So, from our standpoint we think the underlying trends here if you classify kind of those performance versus health, performance was fine, good, you know good improvement but the underlying health we feel exceptionally strong about. The underlying health means we are getting new business, we are driving that, we are retaining business at unprecedented levels and then now as the economy moves around or turns around in any which way we think it gives us a lots of upside potential but the underlying fundamentals, are we winning business, yes; Are we retaining business, yes, are very strong for us.
Dan Johnson - Citadel: Greg is the organic in the U.S. book, has it gotten above positive yet?
Greg Case: It's been relatively flat, it is certainly improving on par with everything else but it has been relatively flat but I would say again. If you think about the U.S. business and in the context of what our colleagues in U.S are doing, it's actually very, very strong underlying performance. I understand we may have achieved that performance at a time when construction which as you know is a very large sector for us and even an increasing sector for us, it's been under tremendous, tremendous pressure and that pipeline is now starting to look more promising. I think you know that since Q1. Obviously M&A and PE activity, also a very, very strong sector for us across the U.S. Those two sectors were basically way down, to say it most positively and variables actually move across and through those sort of head wins to actually perform in a very solid way and again I come back to the health of the underlying U.S business with what our leadership has put in place is exceptionally strong.
Dan Johnson - Citadel: Great, thanks. And then my follow up question is on the foreign exchange front. Sometimes it's hard to tell but can you give a little or maybe some exact color on what foreign exchange impact was to the brokerage and consulting margins this quarter?
Christa Davies: Yeah, its was slightly positive impact on brokerage margins. So 40 basis points favorable and a slightly negative increase, a negative impact on consulting margins.
Dan Johnson - Citadel: Great, thank you very much.
Greg Case: Sure Dan.
Operator: Thank you. Our final question comes from Mathew Himerman. Your line is open and please state your company name.
Mathew Heimermann - JPMorgan: Hi, JPMorgan, good morning. A couple of questions. Just with respect to consulting, once the Hewitt deal gets done, when you think about the platform that you've got, should we think about that being kind of the, the kind of end state platform you want to have on consulting or should we expect you to continue to have an appetite to other practice areas over time.
Greg Case: Well Mathew, from our standpoint as we think about sort of the overall structure of Aon we feel very good about it post close, in fact very, very good about it. We end up with the partnership with Hewitt in we believe an exceptionally strong position. Hewitt brings to us an opportunity to really substantially strengthen our strategic position on the consulting front and even capital solutions give us opportunity to do a lot of cross sell which by the way we have not valued at all, in the partnership at all and just strengthens our ability, kind of in a different client, team level. That puts us in an exceptionally strong position. Also with Hewitt, as you know, it creates significant value, as we've said publicly $1.5 billion of shareholder value in a way that we think is very manageable execution risk and exceptionally strong cash generating capability, really absolutely substantially increases our cash sharing capability that we can invest back into buy back, back in the risk and other places but overall and by the way we've done that in a way that we've actually completely maintained our ratings in the context of what we try to do. So we feel very good about how that comes together and that leaves us with a structure that we think has actually positioned us quite, quite well and I wouldn't look for substantial changes beyond what we've got and the context of what we are. We really, for us it isn't about size. It's about content capability but it does leave us in a position where we are number one in risk, number one in reinsurance and number one in people. We think that's a good solid platform and what we want to do then is invest to build that platform and feel very good about that.
Mathew Heimermann - JPMorgan: Okay, so no real upside to extend into some of the other management consulting areas then?
Greg Case: Not at all. In fact if you think about what we've done, it's a little bit, for us we've really focused our effort really around people and risk and on the people front it's very focused around the elements that we are in and we don't see us looking to do anything broader than that. This is really around human capital and people, not management consulting, not areas such that, purely around human capital and we want to be as I said at the beginning of the call, the preeminent firm in the world focused on risk and people and that by the way, again back to our track record for the last five years, we've in fact focused our efforts. We're out of different areas of underwriting in multiple places to really focus the firm on risking people and we don't plan on broadening that view one bit post close.
Mathew Heimermann - JPMorgan: Would people focus ultimately encompass something like in the assets, a 401(k) advisory or anything like that, not necessarily the custody of potentially announced at gathering business as well which some of the peers -- which some of the competitors on actually do.
Greg Case: I think more on the -- it's more of the investment management side. If you think about Hewitt who also just announced acquisition of Ennis Knupp, great capability by the way. We're very exited about that and what Hewitt's been able to bring into the fold, a world class provider in that context. But again we see this in a very, very combined way. We will not be a balance sheet company though. We're all about professional services, doing in away again capital like advisory business, high return of invested capital in the contact that we're doing high cash flow, very much a round advice.
Mathew Heimermann - JPMorgan: And then just, what if -- taking contingent commissions, what does that mean if anything for producer compensation?
Greg Case: Well look, in the end we thought about overall compensation, it all fits into the overall packaging from our stand point. We're really focused on this from a client view point and it really doesn't impact -- it's not going to impact producer comp one way or the other. This is really around how we think about making sure what we're delivering to clients is clear, absolutely transparent. They understand the value that we're providing in every single way and doing it in a way that manages any kind of conflicts, whether perceived or real which we will absolutely manage through and really, fundamentally as we thought about performance and pay-per-performance, its really around long term performance based competition approaches which again -- contingence for us, there are lots to be made out of them but for us that's a very, very minor, minor, minor part of how we think about delivering value to clients and getting paid for it. It has been historically and will be in the future.
Mathew Heimermann - JPMorgan: Alright, thanks.
Greg Case: Thanks very much.
Operator: Thank you this concludes today's conference call, Mr. Case do you have any final remarks?
Greg Case: I don't other than to say again to all who joined today, we very much appreciate you being part of this and look forward to our next discussion. Thanks very much.